Operator: Good day, ladies and gentlemen, and welcome to the Rambus Incorporated Q3 2011 Conference Call. At this time, all participants are in a listen-only mode. Later we will conduct a question-and-answer session and instructions on how to participate will be given at that time. (Operator Instructions) And as a remainder, today’s conference call is being recorded. Now, it is my pleasure to turn the conference over to Satish Rishi, Senior Vice President and Chief Financial Officer. Sir, you may begin.
Satish Rishi: Thank you, operator, and welcome to the Rambus third quarter 2011 conference call. I’m Satish Rishi CFO, and on the call today are Harold Hughes, our President and CEO; Tom Lavelle, Senior VP and General Counsel; and Sharon Holt, Senior VP and GM of the Semiconductor Business Group. The press release for the results that will be discussed here today have been filed with the SEC on Form 8-K. A replay of this conference call will be available for the next week at 855-859-2056. You can hear the replay by dialing the toll-free number and then entering ID 18184950 when you hear the prompt. In addition, we are simultaneously webcasting this call, and along with the audio we’ll be websiting slides. So even if you’re joining us via conference call, you may want to access the webcast with a slide presentation. A replay of this call can be accessed on our website beginning today at 5:00 p.m. Pacific Time. In an effort to help provide greater clarity to our financials, as we have been doing, we are using a non-GAAP pro forma format in our press release. We will continue to use the same format for our reporting. I need to advise you that the discussion today will contain forward-looking statements regarding our financial prospects, pending and current litigation, and demand for our technologies, amongst other things. These statements are subject to risks and uncertainties, which are more fully described in the documents we filed with the SEC, including our 8-Ks, 10-Qs, and 10-Ks. These forward-looking statements may differ materially from our actual results and we are under no obligation to update these statements. Further, as mentioned, we will discuss non-GAAP financials today and we have posted it on our website, reconciliation of these non-GAAP financials to the most directly comparable GAAP measures. You can find a copy of our earnings release and the recon on our website at www.rambus.com on the Investor Relations page, under Financial Releases. Now, I’ll turn the call over to Harold. Harold?
Harold Hughes: Thanks, Satish, and good afternoon, everyone. As we stated last quarter, we expected a great Q3 in terms of revenue and we delivered Q3’s revenues of $100 million was above the top end of our guidance. Thanks to strong contributions from our businesses across Rambus. Satish will go through the quarter’s financials in greater detail later in the call. A real highlight in Q3 was the signing of the license agreement with a major cell phone company for our Cryptography Research, differential power analysis, countermeasures technology. By the terms of the agreements, we won’t disclose the company’s name. But there are some details we can discuss. This was CRI’s first smartphone licensee, deal includes a license to CRI’s patents for using phones and tablets and includes recurring royalties. (inaudible) becoming increasingly important for smartphones and tablets as they are used to conduct commerce, consume digital media and high-value content and store private user information. There is increasing recognition about the importance of DPA countermeasures in complex electronic devices. At a recent security conference in Japan, more than 50% of the users -50% of the talks were focused on side channel attacks. Side channel attacks represent a threat through a broad range of products and applications and DPA has been shown to be a powerful and effective side channel attack. We see the need and the interest in CRI’s patent to DPA countermeasures continuing to rise. We believe the deal we announced this quarter will be the first of many DPA countermeasure agreements we signed with smartphones and tablet manufacturers. Securing consumer electronics from DPA attacks is foundational to their usefulness and ties directly to our mission of enriching the end user experience using electronic devices. Continue to focus on CRI; during the quarter, we saw continued momentum in our Cryptography firewall security solution in the pay TV market. At the International Broadcasters Conference in September, we announced chip partnerships with MStar Semiconductor and Trident Microsystems. These companies join Broadcom, ST Microelectronics and Visics as partners, implementing CryptoFirewall security core technology in their set-top box SoCs. We deployed CryptoFirewall solutions at the chip level and then monetized downstream customers when they use the CryptoFirewall functionality. The CryptoFirewall core provides a robust hardware security foundation for broadcasters and conditional access companies to build secure services apart. We also announced a conditional service provider. Verimatrix has license to CryptoFirewall core for use and reinforcing its offerings. With this license, Verimatrix will be able to utilize the CryptoFirewall core present in the SoCs from the semiconductor companies I mentioned a moment ago. Downstream customer licenses such as the one with Verimatrix are solutions license agreements that will generate recurring royalties. The engineers and scientists at CRI as with other innovators across Rambus actively educate the industries who thought leadership events. In the third quarter, Paul Kocher delivered the Rambus gold sponsor presentation at the most recent Intel Developer Forum. Paul talked about how the increasing complexity of systems dramatically increases the security challenges we face in electronics industry. And he talked about how hardware-based security solutions are the means with which we can meet these challenges. Also at IDF, our semiconductor business showcased developments in our Terabyte Bandwidth Initiative, EDR-3 innovations, as well as our Mobile XDR memory platform. The key enabler on our ongoing technology development efforts is to ensure we have access to the most advanced semiconductor process technology. This is with our demos at IDF, we validate the performance and benefit of our innovations and solutions with silicon demonstration test chips. As a part of our strategy to ensure we have access to leading-edge technology, we have been collaborating with global foundries on their advanced 28-nanometer super low power process. This collaboration allows us to employ the capabilities, one of the most power efficient and highest performance analog and the signal offerings for advanced SoC development. In recognition of our contribution in this field, GLOBALFOUNDRIES presented us with a Leading in Innovation award at the GLOBALFOUNDRIES Conference 2011 at the end of August. We are very appreciative and proud of this award since innovation is a core value for Rambus and one that we live by every day. As a company inventors, we are continually seeking opportunities to hire experts that can lead the development of innovations and solutions in new areas of focus, areas that we can lead the industry with new technology breakthroughs. One such area is advanced computational sensing and imaging. We believe there are tremendous opportunities in adding intelligence to imaging in the coming years and we are targeting our work accordingly. To that end, we recently hired imaging expert – imaging and optics expert, Dr. David Stork. Dr. Stork is renowned industry expert in optics and the development of algorithms and enabled novel sensing, imaging and image analysis techniques. His honors include being named a fellow from the International Association of Pattern Recognition. We are pleased to have David join our world-class team of scientists – of engineers and scientists here at Rambus. I’ll now touch on developments in our Lighting and Display Technology business. Since unveiling our Pentelic lighting solutions at Lightfair International earlier this year, we are seeing great interest from a variety of companies that are now engaged in discussions with our technology team in Brecksville. We expect to have some exciting news to share in the coming months. Lighting products from GE, using our Pentelic solutions should make their market debut due late this year or early next. First up are troffer style lights using ceiling installations in commercial and retail settings. Proof of our commitment to innovation continues apace. We ended the third quarter with 1,333 issued patterns and another 1,039 pending applications. As always, great credit goes to the hardware, our engineers and scientists and our pattern development team. Changing gears, as you all know, we have the long awaited price fixing trial this past quarter. And we’re still awaiting the verdict. This is an important case to say the least, and while we’d hope to have a verdict by now, the jury is still deliberating. We look forward to the results. Given the time this matter has taken and the tremendous amount of thought and effort by our litigation team, our litigation expenses last quarter were higher than originally expected. As we’ve talked about in the past, litigation expenses are driven by events, the timing of which we cannot always control or even influence. They, nonetheless, represent a strategic investment in achieving fair compensation for the use of our great inventions created by Rambus inventors. Satish will have more detail on expenses as part of the financial discussion upcoming. And with that, I’ll turn the call over to Tom to walk through the legal developments.
Thomas Lavelle: Thanks, Harold, and good afternoon, everyone. Let me begin with a price fixing trial that’s now in the hands of the jury in California Superior Court in San Francisco. This is our case against memory manufactures Micron and Hynix that issue our allegations by the defendants along with others engaged in a concerted and unlawful effort to eliminate power RDRAM product from the market, stifling both competition and innovation in the market for memory technology and memory-related chips. This case was originally filed in 2004 and we were pleased to finally be given the opportunity to present our case to the jury. The jury was seated in the middle of June opening arguments beginning on June 20. The Honorable Judge James McBride has been presiding in this trial. As Harold mentioned, we are all anxiously awaiting a verdict and we’ll communicate the result as quickly as we can. Moving now to the ITC action for memory controllers and serial link innovation. Recall that we’re seeking an execution order barring the importation, sale for importation or sale after importation of products from the respondents that infringe certain Rambus patents. An evidentiary hearing before Administrative Law Judge Essex was held over the course of the past two weeks and concluded today in Washington DC. We expect Judge Essex surrender his initial decision in this matter in early January 2012. And the other ITC case we have with NVIDIA, oral arguments were held at the Court of Appeals for the Federal Circuit on October 6. In that matter, NVIDIA is appealing to the ITC decision that their products infringe patents in the Barth family of patents. In addition, we’re appealing the Fed Circuit’s decision of non-infringement with respect to the Ware family of patents. We expect that Fed Circuit to make their determination early next year. Now, a quick update on the remanded cases and the Hynix matter as well as the Micron matter. In both cases, the judge has recently held hearings and Judge White in the Northern District of California has scheduled another hearing for tomorrow. We are briefing the issues before each judge following the CAFC decision in May. With that, I’ll turn the call back to Satish.
Satish Rishi: Thanks, Tom. As a reminder, we use non-GAAP or pro forma numbers, which we believe are indicative of our company performance as they include the impact of certain cash events and exclude certain non-cash and discrete events, not indicative of long-term performance. Customer licensing income is a non-GAAP measure that includes royalty-related payments that we receive under a signed patent license agreement. It is how we measure the top line performance of a business and it may be different than revenue within a particular period when the amounts of cash received from patent licensees is different than the revenue recognized. For this quarter, as compared to our guidance, we had a very good quarter with higher customer licensing income and lower management expenses. CLI was $91.6 million as compared to our guidance of $85 million to $90 million. Pro forma expenses came in at $66.8 million, above our guidance of $61 million to $65 million, driven primarily by higher litigation expenses. Pro forma net income was $14 million as compared to our guidance of $11 million to $16 million. Customer licensing income for the quarter at $91.6 million was an increase of 26% from the previous quarter and 118% from the quarter a year ago. This quarter include a royalty payments received from Freescale who we signed and received partial payments from in Q2 as well as royalty payments from the mobile handset manufacturer that Harold alluded to. This quarter CLI included a total of $23 million in non-recurring royalties and catch up payments from the new licensees. Pro forma operating expenses were $66.8 million, up 32% from the previous quarter. These pro forma expenses include litigation expense of $23.5 million, up 105% quarter-over-quarter driven primarily by the expenses related to the ITC cases and the San Francisco price fixing case. Compared with the prior quarter and a quarter year ago, pro forma engineering expenses were higher by 9% and 15% respectively due to a full quarter of CRI related expenses and a continued investment in the lighting division. MG&A expenses for the same periods were higher by 50% and 88% respectively, again due to higher litigation expenses. Pro forma interest and other expenses were $2.9 million, flat with the previous quarter and up 59% from the quarter a year ago. For pro forma tax expenses, we are using a flat rate of 36% on pro forma pre-tax income. Pro forma net income this quarter was $14 million, up 13% quarter-over-quarter. A year ago, we had a loss of $2.1 million. Overall cash defined as cash, cash equivalents and marketable securities was at $293 million, a decrease of $67 million from the previous quarter and a decrease of $192 million year-over-year. The decrease from the previous quarter was a result of the repurchase from Samsung of approximately 4.8 million shares of our stock on aggregate amount of $100 million pursuant to the put option offset in part by cash from operations. The decrease from a year ago also includes our acquisition of Cryptography Research Inc. or CRI. During the quarter, we generated approximately $35 million in cash from operations. Now, I’ll give you some thoughts regarding the fourth quarter. This guidance reflects our reasonable estimate and our actual results could differ materially from what I’m about to review. For the fourth quarter, we expect customer licensing income to be between $68 million and $73 million, and revenue to be between $66 million and $71 million. We expect pro forma operating expenses, which exclude stock-based comp, cost of restatement, TRI retention cost and amortization to be between $58 million and $62 million. These amounts include an estimate of litigation expenses of between $12 million to $15 million. Pro forma net income is expected to be between $2 million and $8 million. Before we open the call for questions, we’d like to address a few inquiries we have received from stockholders via e-mail or through our website. The first question relates to our position in flash memory specifically. What are your thoughts on flash replacing DRAM in the coming years?
Sharon Holt: I’ll take that one, Satish. There will be some interesting developments for both DRAM and flash in the five to 10-year time horizon. Both memory types base fundamental scaling limits that will give rise to the development of new bits/cell technologies. We’ve spend a lot of investment and activity in the industry in these new technologies. And this is an opportunity for new Rambus innovation. Because the replacement technology candidates don’t have the same performance characteristics as either DRAM or flash, there may also arise the need for a new memory architectures that best utilize these new memory cell technologies. That’s another area right for Rambus innovation and contribution. So I don’t think flash will replace DRAM. I think, in the next few years, we’re headed for a period where a number of different memory technologies compete to replace both flash and DRAM and we intend to make a strong contribution with innovations and solutions to help the industry make that technology transition.
Satish Rishi: Thanks, Sharon. And the next question pertains to our lighting business. Specifically when will LED revenue be meaningful or in the lighting and display revenue be meaningful to Rambus?
Harold Hughes: We divide our lighting business into two generic parts. One is the technology licensing for physical product be it a light or a display. And secondly, the patent licensing of the patent, which underline our technology licenses. I believe that we will have contributions to revenue from both of those in 2012 and meaningful contributions in 2013 from both.
Satish Rishi: Thanks, Harold. We plan to continue addressing questions from shareholders in a periodic basis. At this forum, operator, we are now ready to open the call for questions.
Operator: Thank you. (Operator Instructions) Our first question comes from Paul Coster of JPMorgan. Your line is open
Paul Coster – JPMorgan Securities LLC: Yes, thank you for taking my questions. A quick question, can you break out semi business from the new business group in terms of the revenues this quarter?
Satish Rishi: Hi, Paul. This is Satish. No, we are not planning on breaking out our business at this point in time. I think when they get to be material and meaningful or they start becoming operating segments, we’ll start doing that in our Qs.
Paul Coster – JPMorgan Securities LLC: Okay. And then maybe this is procedural question, but when will you be issuing the cash flow statement and/or can you provide us with some handle on how cash flow evolve this quarter?
Satish Rishi: Cash from operations was $35 million.
Paul Coster – JPMorgan Securities LLC: Okay.
Satish Rishi: The cash used for investing activities was about $22 million. We started the cash at about $359 million and we ended about $293 million. Any other questions you have?
Paul Coster – JPMorgan Securities LLC: Was there a purchase of property equipment this quarter you can share?
Satish Rishi: Yes. On the CapEx side, we had about $15 million in CapEx. And just in our cash flow just so that give you some color on the non-cash portion, we – about $10 million was in amortization, depreciation was about $3 million, stock-based comp, I think, you already have that was about $7.2 million. I think this should give you a good uplift for some of the cash flow.
Paul Coster – JPMorgan Securities LLC: Okay, that’s great. And then my last question really for Harold, I guess. Is the DPA licensing there you did with the smartphone company, can you help us size this in some way and how many such deals do you think there are out in the market so we can get a handle of what your growth prospects are there?
Harold Hughes: I really under the terms of the contract can’t give you any information on the size of the deal. I know that’s frustrating, it’s frustrating to us and it’s obviously frustrating to shareholders, but many of these deals are complicated and our licensee believes that it’s confidential information as they compete with other people. I couldn’t say much, and I apologize for that.
Paul Coster – JPMorgan Securities LLC: That’s okay. Can I ask a question in a different way then? And that is, looking across the whole handset industry, do you believe this can be material to your – in terms of licensing contribution, can it be sort of 10% to 20% of your royalty revenue in the SPG Group in, say, two years from now, three years from now?
Harold Hughes: It certainly can be material. We believe that DPA attacks are very dangerous. It’s becoming if not the zero defective are standard and that we’re optimistic as to our ability to sign most, if not all, cellphone companies.
Paul Coster – JPMorgan Securities LLC: Okay. Thank you very much.
Harold Hughes: Thanks, Paul.
Operator: Thank you. Our next question in queue is from Hamed Khorsand of BWS Financial. Your line is open.
Hamed Khorsand – BWS Financial, Inc.: Hi. Thanks for taking the call. My question is more as to – it seems like you’re gaining traction on the CRI side. As this is going to be more of a continuing basis, but it sounded like when you bought CRA, they already have lots of licensees. So, is this – are these announcements going to be small in factor or are they just going to get bigger and bigger as the CRI expands our portfolio of patents?
Harold Hughes: I think the way to look at it is just to think of the uses of the devices that we now buy and how – as those uses become broader and broader, you bring into play more, should we say, risky transactions. For example, it would be nice to be able to use your cell phone to pay for purchases. That then requires that that be very secure, both at the handset level and the transmission of that information back to your bank account. If you are a content owner and you would like to deliver high-value content, you want to be certain that whoever receives that content, receives it to a secure device, which would either means by which you would pay. No, we believe that the CRI acquisition can lead to substantial revenues both in terms of securing the delivery of content, the maturity of its financial payments and in the ability to upgrade phones as features are included in phones but not realized until that particular feature is turned on. And we’re moving forward across to broad fronts to maximize the revenue there. Whether or not we’ll have as many announcements next quarters, we did this quarter, I don’t think we can commit, but we are optimistic that over time we can sign many people to our CRI technology license.
Hamed Khorsand – BWS Financial, Inc.: Okay. And then the movement to NFC going to spot more and more Cryptography requirements for smartphones?
Harold Hughes: I think there is a one-to-one relationship between the NFC requirement and the DPA repayment.
Hamed Khorsand – BWS Financial, Inc.: Okay. And my last question is regarding guidance. The current guidance you’re providing for Q4, what changed or what is expected to change in Q4 compared to Q2, because you now have two new licensees compared to the second quarter revenue you reported. And now it seems like there’s going to be very minimal top line growth between those two quarters.
Satish Rishi: Hi Hamed, this is Satish. So, I think what we had in Q3, we had a couple of catch up licensees as I talked about and we had about $23 million from non-recurring royalty payments that came into our CLI numbers. But I think, in Q4 what we are seeing is sort of a standard run rate and there are variable royalties that we have in our Q2 numbers and our Q4 numbers, and there was some seasonality that’s built into our numbers and that is part of what you’re seeing in the guidance.
Hamed Khorsand – BWS Financial, Inc.: Okay. I was just leaving Q3 along, I was looking at Q2, and so looking at Q2 and Q4, what’s declining? Where’s the seasonal factors coming in?
Satish Rishi: The declines are coming in like I said, we had seasonality with some of the licensees, some of them are variable, and most of them are in some form of fashion fixed or they are in a hybrid payments that we have. So not all quarters will be equal, there is some seasonality as some customers will may have a variable license don’t do well, and others do well. And the ones that are doing well may be fixed. So that’s why we have some variation in our top line.
Harold Hughes: Yes, the Q4 CLI forecast that we’re giving you. This is a run rate forecast, we don’t – unless we’re highly certain forecast what a catch up license would be, where we need to sign someone that we’re currently negotiating with. And obviously there is no estimate as to what we might receive it, when we find – when we hear the good news from the court in San Francisco.
Hamed Khorsand – BWS Financial, Inc.: Okay. Thank you.
Operator: Thank you. Our next question comes from Michael Cohen of MDC Financial Research. Your line is open.
Mike Cohen – MDC Financial Research LLC: Great, thank you for taking my call. And thank you, Tom, for the legal update, especially with regard to the ITC and Washington DC. I’m actually currently here at the court head in San Francisco where we’ve been holding digital waiting for the verdicts for about a month now, and eagerly awaiting that. I was wondering if you could share with us how potential double damages would be calculated. Do you have any anti-trust claim and you have a tort claim? If the jury found in your favor on both, I was wondering how that would play out? And if you could tell us the likely scenario, I wouldn’t – obviously I know it’s open to uncertainty?
Satish Rishi: Yeah. Thanks, Michael. Before I say anything, I want to correct the statement that I made in my prepared remarks. I indicated that the Ware patents were found, not infringed, in fact that’s not correct. They were found to be invalid, but infringed, and because they’re invalid obviously, they’re not enforceable at this point till we get that turned around if we do in Fed Circuit. So, I apologize, Michael, for jumping in, but I realize as I was saying it, then I was watching what was happening in San Francisco as I was staying elsewhere in the state, my apologies.
Mike Cohen – MDC Financial Research LLC: And I can confirm, the Jury didn’t just leave for the day.
Satish Rishi: Yes. That’s what I was confirming when I was saying that. So, in any case, it’s going to be very difficult to sort through what would happen if we were able to get damages both on the corporate act and on the tort claims. I don’t think I want to speculate on that. I would love to have that problem and make it a real issue to sort through, and I’m sure we’ll do that very effectively if we’re given that opportunity. But I’d rather not try to do that on the line right now.
Mike Cohen – MDC Financial Research LLC: Okay. My understanding is that if you went on the tort claim, it does open up the possibility of cumulative damages, which could be about 10% of their net worth, which was shown to be, I believe, roughly $1.7 billion. I was wondering if you did win on both claims, could you have the (inaudible) of an additional to (inaudible)?
Satish Rishi: Again, I think that’s a good question. And I don’t have a specific answer. I have talked to a number of people and we’d like to be confounded with that problem. And I believe we could probably find a way to collect both. And as you well know, Michael, we did put on evidence about the torts, we put on evidence involving behaviors that could, in my opinion, should lead to punitive damages finding, we put on evidence as to what their net worth was or their market capitalization, actually that’s what one of the two put on. And so, we look forward to having that problem, but you’re sitting in the corner at San Francisco. I’m sitting in a conference room in Sunnyvale and we will look forward to having that problem should that come up and we’ll sort through it all when we get it, if we get it.
Mike Cohen – MDC Financial Research LLC: Okay, great. I was wondering the next question, I guess, I’d go over to Sharon, I was wondering about, if there is any past licensing deals that are set to expire in the next six months that we should be aware of?
Sharon Holt: Nothing that I’m aware of from a semiconductor business in the next six months, Michael.
Mike Cohen – MDC Financial Research LLC: It’s great. That’s fantastic. Thank you for taking my call.
Satish Rishi: Thanks, Michael.
Operator: Thank you. And our next caller in queue is Mike Crawford from B. Riley & Company. Your line is open.
Mike Crawford – B. Riley & Co.: Thank you. Going back to the Leading in Innovation award you got from GLOBALFOUNDRIES for the supernova power process. That is something that, I think, I believe GLOBALFOUNDRIES is collaborating on with Samsung, is this something that you expect Samsung to be implementing soon and if so what would that mean for Rambus?
Sharon Holt: Hi, this is Sharon. I’ll take that question. Samsung and GLOBALFOUNDRIES and IBM and a few other people are part of an alliance where they actually share process, new process development, and they actually run identical or close to identical processes in their fabs. Obviously it’s part of an effort in the industry to provide options for fabless or fab-like companies to have other places to go to have their chips made. The particular word that you mentioned a project that we worked on with GLOBALFOUNDRIES, we do a lot of internal R&D here at Rambus. And we don’t just do it on paper or through simulation. We actually take many of our designs all the way through to silicon to prove that they work as we expect they will and that’s actually an important part of demonstrating new technologies to customers. The reason we received the award is that we were doing some very unique mixed signal, high-performance low power designs are unique among GLOBALFOUNDRIES’ customers. And it actually was a good exercise for both us and GLOBALFOUNDRIES because they were able to prove out some of the capabilities with their process and improve their silicon access methodologies for other potential customers who might be doing high performance low-power designs targeted at the mobile market.
Mike Crawford – B. Riley & Co.: Okay. Thank you, Sharon. And maybe an adjunct question would be any updated commentary on how the Samsung MoU is or is not progressing?
Sharon Holt: So we continue to be very pleased with the progress on the relationship with Samsung. Clearly if we had a new agreement to announce, we would do so. But as I’ve reviewed with our team internally here, there has been a lot of benefit coming to Rambus through the relationship over the last of many months, it’s been 16 months or so. As we continue to share with (inaudible) that’s in our plans and get real valuable feedback from them as through the relevance and importance of some of the new technologies we’re looking to introduce. So that work is ongoing and certainly as we have any major new announcements to make, we’ll do so.
Mike Crawford – B. Riley & Co.: Okay, thanks. And then last question goes back to lighting. So thank you, Harold, for talking about some revenues in 2012, meaningful in 2013. GE obviously, a great partner to have there. Is this something where you think it starts with GE or where do you expect to be able to sign another major players in the next timeframe be it 12 to 18 months?
Harold Hughes: But I expect to – absolutely. And again, just for emphasis, our businesses at this particular level of discussion, just divided into two parts. One, where we work with people who produce a physical lighting product such as GE and another, a licensing ARM where people who are currently using our technology, primarily in display. We look to sign a patent licensing with them, and to a certain extent, to the extent that we can, we will work with them on a technology basis to improve the performance of their displays. In both areas, we expect to have a broad licensing program and indeed they’re underway right now. GE is a big customer. I guess I’d have to say candidly in signing a big customer, they tend to take a lot of your attention. So obviously we had much of our – many of our resources focused on GE. But as those issues are resolved, we’re beginning to talk to other people and are optimistic about the likelihood of success.
Mike Crawford – B. Riley & Co.: Okay. Thank you.
Operator: Thank you. At this time, I would like to turn the call back to Harold Hughes for any concluding remarks.
Harold Hughes: As always, thank you for your continued support and interest and we look forward to speaking to you very soon. Thank you.